Ron Banerjee: Good morning, and welcome to Volvo Car's Earnings Call coming to you from Stockholm. My name is Ron, and I'm joined this morning by our President and Chief Executive, Jim Rowan; our Chief Financial Officer, Johan Ekdahl; and our Chief Commercial Officer and Deputy CEO, Bjorn Annwall. At the top, Jim, Bjorn, and Johan will walk us through our performance, and thereafter, we'll throw it open for a question and answer on it. Before I invite Jim to come up here, take a look at this short video that summarizes the year 2023. Jim will join on the other side.
Jim Rowan: Hello, and welcome to Volvo Car's Fourth Quarter Full Year Financial Results for 2023. As you can see, it was a record year. We delivered some key milestones to our transformation journey in Volvo Cars during the last 12 months with record breaking years on many levels. We reported the highest retail sales, revenues and profits in the 97 year history of our company. 2023 was a strong operational performance year for us. As we said, record year in terms of sales, revenue, EBIT, but also in fully electric BEV share. 16 months of consecutive growth in retail sales with a balanced portfolio of BEV, PHEV, and MHEV products. Fully electric car sales increased by 70% with increased margins, increased production output by 18%, reflecting our strong supply chain resilience. We delivered meaningful fixed cost efficiencies. We entered the premium EV sector in China with the launch of a new MHEV. We commercially launched the multiple award winning EX30, with strong preorders, and the delivery of those cars to customers happened in the fourth quarter. We substantially strengthened our next generation technology, including further investments in AI. And in so doing, we laid solid foundations for our continued growth in 2024. We are the only heritage car company that split our BEV margins. We saw that rise to 13% on our CMA XC40, C40 platform, and that will increase further as we develop the EX30 into more and more geographies and sell more of those cars around the world. We are the highest premium BEV share company, and we have the highest published BEV margins in the EV sector other than Tesla. We're proud of all of those achievements. But perhaps we're most proud of the three new cars in our full production lineup this year, all with a very specific focus. The EM90 is tailed at the premium sector of the MPVs in China. The EX90, our global seven seater, fully electric car with strong customer demand, targeted towards Europe, our North American and our Chinese markets. The EX30, our new small SUV targeted very specifically towards bringing in new customers and city drivers. This combination of those three strong cars in addition to our existing lineup, we think, positions us well for continued growth in 2024. But let's look at each of those cars individually, the EX30. We already have 40,000 cars have left the factory. The car has been released for sale. We have strong demand. We have strong supply. Five colors, four interiors, two drivetrains, two battery types, including LFP, 450 kilometer range, and the lowest CO2 footprint of any car we've ever produced. It also goes from zero to a 100 kilometers an hour in 3.6 seconds. A safe, sustainable, a city car that will attract new customers to Volvo. The EM90, a premium car specifically targeted towards the China MPV market. This will help strengthen our brand, attract new customers and improve our gross margins and our profitability in China. Production on that car has already started. The EX90, our flagship SUV, seven seater, fully electric, almost 600 kilometers of range based on our new SPA2 core compute architecture with new active safety systems, including LiDAR as standard. This positions Volvo technology ahead of many of our premium competitors globally. It's our safest and most intelligent Volvo that we have ever produced, and that car will start production in the second quarter in our Charleston facility in the USA. So with the EX30, the EM90, and the EX90, we are significantly strengthening our position in the market, especially in the premium electric segment, which is where we are focused for the future. We are not just building electric cars, but we are bringing new technologies that represent a paradigm shift for us and for our entire industry. Starting with the EX90, all of our cars built on our next generation fully electric platforms will be powered by AI enabled core compute. This will provide tremendous opportunities to harness the benefits of AI and of data capture. This further differentiates us from other mass EV cars that are simply electric cars with electrical propulsion, but they don't have the core compute architecture that provides the tremendous benefits that our next generation cars will have. With that, I will hand over to Bjorn, who will take us through the exciting journey that lies ahead in our full range. Bjorn?
Bjorn Annwall: Thank you, Jim. So clearly, the three new fully electric cars that Jim talked about will make our showroom even more attractive for consumers, so our growth journey on full electrification will continue. We will come to 50% fully electric car by 2025 and become fully electric by 2030. But it's important to point out that the transition to full electrification happens at different timescales throughout the world. And therefore, our plug-in hybrids and mild-hybrids continue to play a very important role. They will get further love and care with smart investments. We will see exterior upgrades, interior upgrades, and infotainment upgrades to these cars. The exact timings we will come back to. With this broad portfolio, we have the right portfolio to play throughout the world. On the electrification side, it's important for our sustainable future that we get fully electric, but it has to be done with sustainable margins. Therefore, it's really reassuring to see amidst all talk about weakening or softening BEV demands and lousy BEV margins for many players, but we, during last year, grow our BEV sales with 70%, and we increased the gross margin up to now 13% in quarter four, that's something that's been done with real hard work and focus over a long period of time. We have invested into making the cars better. Interiorly designed, fully electric motors is one example that has extended the range and made the car better. And we have also invested a lot to build up the know-how and belief in electrification in our sales companies, and with our retail partners in order to be able to serve our customers in a good way. This strong growth will continue and the path towards an even more profitable BEV sector will also continue. The EX30 will come in with a contribution margin or gross margin, I should say, between 15% and 20%. It's also important to say that, as I said, the transition happens at different pace, at different parts of the world, but this is not a Northern European phenomena. This is something we see throughout the world. It's happened faster in Northern Europe than Eastern or Southern Europe. It also happens faster on the West Coast in the U.S. than interior. But we see strong electrification throughout the world, and we're already above 50% fully electric shares in six markets throughout the world. If you then also add in our plug-in hybrids, so basically looking at what share of our cars are sold with a cord, either plug-in hybrids or fully electric cars, you see that there are many market where the vast majority of our cars have those cords. It's also important to mention that the plug-in hybrids continue to constitute an important bridge into the fully electric future. We see many consumers who take a plug-in hybrid as a first step into full electrification, and the next car they buy is a fully electric cars. It's also reassuring to see if we look at the usage of the plug-in hybrid, they're used as intended. More than 50% of the energy consumed in the cars comes from charged electricity, i.e., it's more of a fully electric car in the usage of the consumer then it's a nice car, and it bodes well for the future. Also interesting to see, in the U.S., we brought with you the kind of top three U.S. states there. Some of the states there has come quite far when it comes to electrification, at least for Volvo Cars. So, again, this happens throughout the world. I also want to mention the fact that the '23 was a record year at the global level. And at the local level, We had a lot of sales companies and retail partners who did a fantastic job. 10 sales companies had an all-time high unit sales, but more importantly, 24 sales companies had an all-time high earnings, and that comes based on a lot of work to deliver a premium consumer experience and to get the right price realization and mix in the market in a tough year. So we feel very proud about that achievement, which bodes well for great numbers. And Johan, let's have a look at those numbers.
Johan Ekdahl: Thank you, Bjorn, and good morning. Some more flavor to the financials then. Again, 16 consecutive months of growth, taking us to the 200,000 cars in the fourth quarter of 2023 and SEK109 billion in revenue. On EBIT, we're at SEK6.7 billion compared to SEK3.9 billion last year for the Volvo core operations, excluding JVs and associates, so a significant improvement. And on cash flow, a strong free cash flow of SEK6 billion in the fourth quarter of 2023. If we look a little bit more into the details on revenue, of course, driven by higher volumes, but also that we are actually maintaining a good sales mix and pricing, showing our ability to maintain price discipline in this quite turbulent environment. Foreign exchange rates still a tailwind on the revenue side, mainly the U.S. dollar. Contract manufacturing, a slight decrease compared to the same period last year. And then we also have other positive effects, mainly from aftersales and parts and accessories, taking us down then to the SEK109 billion in revenue for the quarter. Looking at EBIT, SEK3.9 billion, again in fourth quarter last year, and increase in volumes, still maintaining price discipline and a favorable mix. Some decrease, due to FX in the fourth quarter, mainly the strengthening of the Swedish SEKagainst other main currencies. And then other positive effects, also mainly driven by parts and accessories, taking us then to a solid underlying profitability of SEK6.7 billion or 6.1% for the quarter. And then including, JVs and associates, we're at SEK5.4 billion or around 5%. And then as Bjorn alluded to before, solid BEV margins of 13%. As we have said previously during the year, we see an increase of the BEV margins from 9% in the in the third quarter to 13%, both due to lower lithium prices, but also the, product development in-house, e-motors, et cetera. And also the ability driven by increased range, et cetera, to further improve pricing of the cars, taking us to 13%. On the investment side, again the main part of our investments going into the electric future, but we also see investments still in our balanced portfolio of other cars, PHEVs and MHEVs taking us to the journey towards the fully electric future beyond 2030. So for the full year, again we are seeing a solid double digit growth in retail sales of 15%, taking us to the record 709,000 cars. Revenue, 21% growth, SEK399 billion in revenue showing also there a strong pricing effect due to the fact that we are increasing revenue more than sales volumes. EBIT for the company, record SEK25.6 billion in EBIT, 6.4%, a significant improvement compared to last year where we had around SEK18 billion or 5.4%, including JV's and associates, SEK20 billion or 5% EBIT margin. And if we look at cash flow, minus SEK9 billion for the full year in free cash flow. But taking that into consideration that we have granted this shareholder loan to Polestar of around SEK11 billion, we are operationally at a positive free cash flow for the full year. And revenue then in some more detail, the biggest driver, of course, being volume. But again, we are able to have a positive effect from sales mix and pricing also for the full year, FX tailwind, some contract manufacturing contribution and then other effects, parts and accessories, used cars, et cetera, taking us then to the almost SEK400 billion revenue, which is a record for the company in its history. On EBIT, we start around SEK18 billion last year, big effects again from volume. Sales mix and pricing, almost flat, but that is also then considering that we have a significant increase in our BEV share from 11% to 16%, still maintaining pricing and sales mix, taking us to a flat level on that respect. And then some tailwind also on EBIT for the full year on FX. Some other effects considering the first part of the year where we still had some supply constraints, semiconductor shortages, et cetera, increasing cost, also elevated raw material prices. But that, as you saw in Q4, is a complete different picture now going out of 2023 and into 2024. Then taking us to the 25.6% record level EBIT, 6.4% for the full year and again SEK19.9 billion or 5% including the JVs and associates. On, liquidity, we're going out of the year with a strong balance sheet, a solid liquidity level of SEK75 billion, including undrawn facilities. We are in a period of high investments, but we are doing this in a balanced way. And we also foresee now for the years to come '24 and '25 an approximately neutral free cash flow, taking us then investing into 2026 where we should see a strong cash flow generation for the years to come. And with that, I leave back to Jim for the clarified ambitions.
Jim Rowan: Thanks, Johan. Yes. So let me just take a few moments to clarify a few of our strategic ambitions and the timeline that goes with that. We're on track to reach a 50% EV sales by 2025. Of course, that's supported greatly by the add of the new EX30, which we think will be a high volume car for us in the years to come. We're also on track to reach our 40% CO2 emission reduction when we use that against our baseline of 2018. Again, that will be strongly supported by the advent of the EX30 sales in the months years ahead. We're also moving our focus from volume to value. We think that's a much more important measure as we go forward. Therefore, going forward, we will report on revenue and not on units. And we have set ambitions to be between SEK550 billion and SEK600 billion by 2026. And we remain resolute on achieving our 8% plus EBIT by 2026. We've been asked to clarify some of those strategic ambitions and also asked to clarify the timelines where those ambitions would be realized. So, hopefully, that paints that picture more crisply for everyone today. All of this translates to ambitious revenue growth of between 11% and 15% CAGR between 2023 in 2026, which we believe is one of the most ambitious growth rates in the premium automotive sector as it stands today. Now, the auto industry has cyclical investment. We saw this in 2015 when we invested heavily in our SPA1 platform. That delivered great benefits to us and allowed us to reap the benefits of those investments over several years. We are now in a similar investment cycle for SPA2 and beyond. This investment involves much more complicated technologies than ever before, and they all must come together simultaneously. Cell to body, batteries, mega casting, e-motors and inverters, AI, safety, embedded safety, and also some of the other tech investments around software. And, of course, partner up with our silicon providers like NVIDIA, Qualcomm, and many more. All of these need to come together in order to deliver the benefits. And we are very well positioned within our industry to deliver the first part of those investments in the SPA2 architecture. This will allow us to reap the benefits of this for the years to come. Let me also clarify, I'll take the opportunity to clarify our position on Polestar. Polestar is entering an exciting new phase with a strengthened business plan and positioned for future growth. Volvo Cars is developing and concentrating its resources now on its own ambitious journey. In that case, Volvo Cars is evaluating reduction of our shareholding in Polestar, including a distribution of shares to Volvo Cars shareholders, with Geely Holding being the primary recipient. Volvo Cars will no longer take the role of providing further cash into Polestar. We will, however, extend the repayment periods for our existing loans from 2027 to 2028. Volvo Cars and Polestar's existing operational collaboration across R&D, manufacturing, after sales services, and some commercial opportunities will continue to the benefit of both companies. So hopefully, this clears up some key points around ambitions, our investment cycle, and our continued engagement with Polestar. Let me move now to 2024. We have a strong balanced lineup of premium cars, BEV, PHEV, and MHEV. We have higher volume growth rates in 2023. We have a fully electric car share that will be considerably higher than 2023. We all have higher BEV margins than in 2023. The ramp up of the EX30 is in production, and we have 40,000 cars already in transit. The EM90 has already started production, and we'll have the first customers behind the wheel of that car in Q1. And the EX90 will start production in the first half of 2024. This positions us strongly to deliver on our clarified ambitions as well as a strong growth in revenue for 2024. So in summary, a record year in 2023. The foundations and the hard work of '23 positions us really well for another record revenue year in 2024. We will have 11% to 15% CAGR growth rate between '23 and '26. We have three new models in production in different market segments, in different countries, in different geographies with different customers, all in the first half of 2024. Capital allocation will be fully focused on Volvo Cars' operations, and that will deliver differentiated technology for Volvo customers in the years and months ahead. And we have added to our organizational strength and developed a winning can-do culture. And let me just stop on that for a second. One of the things I think that differentiates Volvo Cars from our competitors is that we've managed to harness our global operation towards the single focus of becoming a fully electric car company by 2030, and by harnessing all of the technology that we need to develop in order to achieve that goal. We have manufacturing facilities in Asia, in Europe and in North America. We have engineering teams in Asia, Europe, and North America, yet we bring out all of that together into a single focus point that allows us to develop technology and bring out winning cars faster than our competitors with differentiated technology that's important for Volvo customers. So let me then just say thank you to all the people who worked for Volvo Cars to deliver what was a record year for our company and in so doing, positions us for a great 2024. Thanks.
A - Ron Banerjee: Well, thanks very much, Jim. So while Jim settles in, let's, tell you how you can participate in this Q&A round. You can do so in two ways. You can either send in your questions. You can see the chat window at the bottom of your screen, in which case I will read out the questions or else if you want to join in on the phone lines, just use the QR code that you should also see at the bottom of the screen [Operator Instructions]. With that, guys, let's get this Q&A started. So the first question that comes in. Jim, we are seeing many companies becoming more cautious about their BEVs, battery electric cars. Will you be lowering your BEV ambitions as a result of the weak sentiments around battery cars?
Jim Rowan: No. Far from, in fact, when we look at 2023, we grew by 70% in our BEV segment and that was really just with two cars, the XC40 and the C40, both of which are, of course, on the same size. So effectively on one platform and two cars, we saw that growth. And we're outgrowing our competitors. We have the highest share in EV sales amongst our premium competitors. This year, of course, we'll see the EX30, we'll see the EX90, and we'll see the EM90, all in full production by the half year. So we expect to grow considerably in the EV segment this year as well and to take further market share. But let me pull that apart a little bit more. The reason I think there's so much narrative around, the slow in EV is that there's two different segments. There's the premium segment, and there's the mass market. I think in the mass market segment, maybe that has been affected by some companies not getting to price parity with ICE. In the premium segment, we don't see that. We see the premium segment growing, and we're taking market share in that. But as well, remember, we have a fantastic lineup of mild-hybrids as well as plug-in electric hybrids, and that helps bridge many of our customers from mild-hybrids to plug-in electric hybrids to full BEV. And the loyalty of our customers and the data that we have shows that that's a natural transition for many of our customers. So we're still bullish about the, the EV market going forward. The premium electric market going forward, I should be more precise.
Ron Banerjee: Let's take another question then. This comes from Hampus Engellau from Handelsbanken. Can you give us an update on the software situation with the EX90?
Jim Rowan: So on the software side, as you know, we delayed that car. Again, this is the most technically advanced car that we've ever produced, and in fact, I think it's one of the most technically advanced cars that has ever been produced, quite frankly. And so we wanted to make sure that the software within that vehicle was as good as it possibly could be. Even though we can do software updates over the air now with that technology, we still wanted to make sure that everything was as good as it could be. And we took the time. It was a decision that we made, I think, for the long term benefit of our company and the long term benefit of our customers to just take a pause and make sure we get that right. But now I'm glad to say the teams have worked through that, and we're on schedule to start manufacturing that car now in the second quarter of this year, which we had alluded to, I think, about a year ago or so when we made the announcement that we would delay. So still on track. We'll start in our Charleston facility in the USA. That's where that car will begin its production life and the first customers will be behind that car shortly after we ship that in the second quarter.
Ron Banerjee: This question is from [Daniel Schwatz at D&B]. Your EBIT margin target for 2026 includes revenues and EBIT from cars that you produced for Polestar. Could you give us an indication how substantial that contribution is?
Johan Ekdahl: And, of course, there is a contribution in absolutes. I will start by saying, the contract manufacturing contracts that we do have, we are in not in any means depending on that in order to reach our EBIT margin target of above 8%. So of course, it's an contribution in absolutes. We don't guide on these specific numbers, but it's not a requirement to reach the 8%.
Ron Banerjee: Another question from Daniel then. The contribution from JVs and associates includes an estimate for Polestar's Q4. Does that already reflect the recent profit warning by Polestar?
Johan Ekdahl: I mean, since Polestar has not yet disclosed their Q4 earnings, we cannot comment on the specifics on Polestar numbers. But of course, the Polestar numbers are included in our net of JVs and associates. But they will release that at a later stage.
Ron Banerjee: So let's take a question then from the U.K. James Attwood from Autocar. He asks, the XC60 remains your bestselling model. How long until you have an EV offering in that crucial market segment?
Johan Ekdahl: Stay tuned.
Jim Rowan: Well, it will be a natural -- it's, obviously, a natural progression. The 60 size and the 60 size class for us has been an important part of the product portfolio. So it would be natural that we would at some point in time announce when we're ready to do that. So yes. It's a good question. It's a natural, progression for us. We're just quite ready to announce when we'll hit the market with the new 60 class in electric.
Ron Banerjee: Let's take the first caller then this morning. It comes in from Daniel Roeska from Bernstein.
Daniel Roeska: Two for Johan and one for Jim, please. Johan, first, on gross margins for ICE and BEV, what drove the strong uplift on the ICE gross profit in Q4? And could you elaborate kind of in your mind what the key growth drivers are on ICE and BEV gross margins in 2024 and 2025?
Johan Ekdahl: On the gross margin in the fourth quarter, I think, it's a combination of things. I mean, we have an -- on the BEV side, of course, the lithium prices and raw material prices are contributing. But I also would say towards the second half of '23 that material prices, in general, has contributed to an increased gross margin compared to the first half of the year. Because, I mean, there are indexed contract, et cetera. So you always have a certain lag towards spot prices. I think in the fourth quarter isolated as well, we had quite favorable core mixes, which contributes to the gross margin and also that we have been able to maintain a good pricing discipline. Going into '24, of course, I mean, we see now an increased BEV margin as you see in the fourth quarter. We will also have a better margins on the on the EX30 and the BEVs to come. Than we have on the current lineup as we have guided 15% to 20% on the EX30. We will also see an significant increase, as we say, on the BEV share in 2024, which still in '24 is slightly dilutive, on a company level, if you will. But on the other hand, we expect still upsides from raw materials continuing to flow through in lithium, et cetera into 2024. So I guess, '24 is a balance of different things, slightly down mix if we if we talk higher EV share, but also upsides on raw material and other variable costs. So I think it's a balanced equation if you will.
Jim Rowan: One thing, and Bjorn can probably talk to this in more detail. But one thing which we find is, as we brought in some of that new technology to the XC40 and the C40 class, that's allowed us to increase the performance of that vehicle, whilst at the same time taken out cost. And that's, I think, given pricing power to the markets.
Bjorn Annwall: Maybe I can make one addition there as well. I think it's important to note that, as Jim said, 40,000 cars, EX30s have left the factory and on their way to customers. And earlier this week, we released the car to customers in Europe. So now the real ram pup starts and starts in Europe and it will happen. Also, I think, Japan will open up next week, and then, Brazil or Latin America and the U.S. comes in around summertime. So it would be a quite quick ramp up now during the spring. That's the plan. So you're going to see decent EX30 numbers already in Q1 and then, from thereon, it's going to start to get really high.
Jim Rowan: On the on the EX30, my tagline for that is strong demand, strong supply…
Bjorn Annwall: And a great car.
Jim Rowan: Yes.
Daniel Roeska: Second one, Johan. There was a comment on the dividend in your report this morning that the Board is still elaborating and considering. In the past it sounded like dividends were a possibility only after the mid-decade ambitions had been reached. Has your position changed on that?
Johan Ekdahl: I mean, what we have said previously is that on, let's call it regular cash dividend, we have said that for the time being, we are focusing on our transformation rather than dividend to shareholders. What we say in the in the Q4 report is that we are investigating a seasonal reduction of our shareholding in Polestar, which could include a dividend to the current shareholders. But since this is an ongoing investigation with certain approvals, et cetera to be received, more details will come in due course.
Daniel Roeska: And so the dividend comment relates to the distribution of Polestar shares as dividend?
Ron Banerjee: Daniel, you had one more question?
Daniel Roeska: Jim, on Polestar, just interesting, kind of to hear your thought how your thinking has changed and the discussion on the Board to basically say no to further funding and then also kind of unload the shares possibly at some point. In the past, it always sounded you were a very strong supporter of the business model. Do you think they're at a point that they can kind of go at it alone now, or what changed in your thinking to take this step?
Jim Rowan: I don't so much think it's a change. It's more of a natural evolution. So I think, Volvo and Polestar were good bedfellows in the early days when Polestar was developing as a as a company. It was able to utilize the technologies and the resources from Volvo. And, of course, as it grows, as its grown from a one car company to a 3 car company, I think it's now in well over 20 markets around the world. It's getting ready for the Polestar 3 and Polestar 4. Both of those cars, I think, are tremendously good cars. I've driven both of them, and I think they're ready for the next growth phase. And when it comes to that, we are not a natural holdings company. I think we were the right partner for Polestar to get them to this stage. And now it's a natural evolution that they spread their wings. They go and get their own funding and become a more independent company. I think it's a very natural evolution, and I think they're very, very well positioned for future growth. And, they want to take -- it's good for Volvo. I think it's good for Polestar that there's independence on both sides as we go forward. And then the other thing is, some people who maybe want to invest in Polestar, but don't want to invest in Volvo, then that's going to make that a little bit easier and vice versa. So I think we've got a lot of positives on both sides of that equation.
Daniel Roeska: I don't I don't disagree with the kind of natural evolution here. What I'm wondering is, aren't you worried that this will be perceived kind of as an complication for the planned equity raise that Polestar has. It's one of the major shareholders who's saying, Look, I'm not going to invest anymore. It basically needs the market or Geely, I assume, to pony up more money in an environment where raising equity for EV startups may not be the easiest at this point in time.
Jim Rowan: Actually, I think it's the contrary to that. I think it provides clarity, and I think that's really what the markets -- I mean, my experience has been that markets are looking for clarity. And I think it provides more clarity, going forward for Polestar and where they're going. Remember, in the first two cars, the Polestar 2 and Polestar 3, that was built on a Volvo platform or Volvo platforms. The Polestar 4 is actually built on a Geely platform as well. So you're seeing now already, Polestar being able to utilize the strengths and the benefits of the entire Geely Group and not just Volvo. So for me, I think it gives clarity to their direction going forward.
Ron Banerjee: Let's take another caller then.
Jim Rowan: And maybe just one last point on that. Remember, we will stay as well as a partner to Polestar. We will still share, we'll still be a manufacturing partner. We still do joint R&D together. We do some commercial operations together. And when there's mutual benefit for both companies, we'll absolutely continue to do that. And there is a lot of synergies that we can drive both now, and I believe into the future, even though Polestar is becoming a more independent company.
Ron Banerjee: And this is, George Galliers from Goldman Sachs.
George Galliers: The first question I had was just on your pricing assumptions for the EX30. It sounds like you definitely see the pricing pressure in the BEV market as being differentiated between the premium segment and the mass market segments. But I was just wondering if you've made any adjustments to your own pricing assumptions on the EX30 in light of the discounting we're seeing in China, and also some of the incentives were being seen offered by your German premium peers on their battery electric vehicles, both in North America and in Europe? The second question I had was with respect to the commentary around neutral free cash flow in in 2024 and 2025. Given the sales growth and the healthy gross margin on the EX30, could you just help us understand why the free cash flow will still only be neutral? Is it reasonable to assume that the step up in investments will more than offset the benefits you get from the new products and the contribution that they make? And finally, also related to the neutral free cash flow, is that a clean number, or does that also take into consideration, I believe, there are still potentially some outstanding payments to your China JVs post the initial IPO?
Ron Banerjee: Yes, pricing.
Bjorn Annwall: So let me take the first one on pricing on EX30. And here, I think we need to separate China from Europe, U.S., Latin America or the rest of the world. If we start with the rest of the world, there, I mean, we see an extremely strong demand for the EX30 at the price we have priced it at, so we don't see any reason to adjust pricing for that car. It's a strong offer, and we see consumers really love that offering. In China, clearly, the price pressure is very, very high in the BEV segments. And there, we have a quite different strategy, when it comes to EX30. We are a premium electrified company, and the core part of the electrification strategy in China is around EM90 and EX90 to really position Volvo as the premium electric car company. EX30 will play more a niche role there where we really value -- value over volume. So it will play a premium role, and we take down the volume requirements for that car in China and rather use it as a stepping stone to really building that premium electrified position in China. So short story is, no, we feel very strong about the pricing outside China. And in China, EX30 play less of a volume role, but will still play a role in our journey.
Bjorn Annwall: I'll take the cash flow question. And as you say, I mean, we are in a period of high investments. '23, '24, '25, we are really investing into the future in both manufacturing footprint. We are investing in things like mega casting, battery assembly and in-house development of the new architectures, next generation of vehicles that will really take us to reach our longer term ambitions to increase profitability and have a lower cost per car, et cetera, taking us to the ambitions as of 2026. But that is also a number of things that requires upfront investments. So that is really the balancing to that. We will be approximately neutral over the period of these two years based on where we are from an investment time phasing. And to your second question, it is a number that is including the investments that we will do regardless whether it's in JVs or it's in other things. So it should be seen as a total cash flow outlook for that perspective.
Jim Rowan: Let me just add a little bit on the technology investments. So when you're investing in a new platform such as our core compute platform on SPA2 and SPA3, you need to do that simultaneously. It's such a brand new that many things changed from the past. So that includes, obviously, batteries and cell to body. It includes the e-motors, it includes LiDAR and radar. But most importantly includes the software elements of that and the huge investments that we're making in software. And I'll stop on that for a second, because what we're building within Volvo Cars and the core compute architecture is the ability for us to harness the tremendous benefits of AI and machine learning, and that's what we're pouring in. And the value that that will create, even though there's investment for the next few years, the value that that creates long term, I think it's going to be tremendously good for Volvo Cars. So that's the investments. But you can't do those in series. Those need to be done in parallel so that the whole platform takes a takes a paradigm shift to the next level, and that's why we see this investment cycle as I alluded to in some of the slide we had earlier.
Johan Ekdahl: And maybe to add, I mean, then as we also said, from 2026 and the years onwards, we should have a strong cash flow generation based on what we just, yes, described.
Ron Banerjee: And this is Hampus Engellau from Handelsbanken.
Hampus Engellau: Could you maybe give us an update on how the [flipping] on the U.K. market is doing on the online sales? And I think, you previously indicated that Germany and Sweden might be next out. So if you also maybe could update us on where in the next market, will Volvo would transform over to a online digital sales organization?
Bjorn Annwall: Let me take that one. So first, I think the key point for us is not online or direct. The key point for us is deliver a better consumer experience in a more efficient way and that means the cost that we have as Volvo and the cost our retail partners have. That's really the objective function. So in the U.K., we have transformed the model where Volvo act as the selling partner to the consumers and retailers formally are agents. But the key point there is that we marry the digital system and the physical system in a seamless way. And we were conscious to do, let's do U.K. and let's do the full thing, so we understand what we don't understand. Because when you do new things, there are always things you don't understand. So far, this is working quite well. I think the consumer experience is good as long as it is a quite a normalized journey. What we still need to work on is to take away some of the back end work we need to do. We still have some systems that need to be automatized to really get the full efficiency benefits out of it. And then there are also, as you know, consumers behave in many different ways. So when you have more outlier cases, those cases we're not good enough in handling yet. So we're working to kind of resolve all of that in a good way. And as we then have those learnings, we continue to implement these in other markets. The key market that comes next are Norway and Sweden. But I think we are also upgrading the way of implementing this. So there's not a certain day where the world we wake up and the world is totally different. This is something we build over a period of time gradually with our retail partners. With the core is have the right to do the system, share the consumer data in a smart way, and really drive efficiencies. So this is not a revolution. This is an evolution we do together with our retail partners. And Sweden and Norway are next in line, but there's no magic big date when you're going to wake up and see it's completely different.
Jim Rowan: And I think the encouraging thing as well when you look at the U.K. and the U.K. performance last year, in terms of earnings, that's a proof point that we're again moving in the right direction.
Bjorn Annwall: And I might add to that as well. A big lever for driving efficiency in the retail system is also to make sure you have the right number of retailers in the right places, good old kind of network restructuring. And that we are also doing a lot of work on, especially in Europe, where we have gone out and we're working with our retail networks to really restructure them so they are rightsized and right equipped for the future. That also drives efficiencies. So, We work on many fronts to continue to drive efficiencies in the commercial system.
Ron Banerjee: This is from Nordea, Agnieszka Vilela calling in.
Agnieszka Vilela: So one question Polestar distribution of shares. Do you know already today what the time frame for that will be? And also, If I understand correctly, you will be distributing to all of your shareholders pro rata or will you be directing the distribution to Geely?
Johan Ekdahl: On the on the time frame, we are still, investigating this. More information to come shortly. We will come with further information during this quarter, but we don't have an exact timeline decided of this as of this point. And as you said, we are investigating this. It could be done through a dividend to our shareholders, but we will also come back in due course with the details about the transaction as such.
Jim Rowan: We've we felt that, we're doing the earnings call today for 2023 in the fourth quarter, and we felt it was right for us to signal that this is our intention. But, obviously, we need to come back, which we will do, shortly. But we definitely felt this was the right time for us to, at least, show the direction of travel.
Agnieszka Vilela: And then another question to, Johan, just shortly on the other bucket in the EBIT bridge. If I look back two years back, so to say, there you had a negative headwind of some SEK20 billion. Now, it's turning positive. And, as you mentioned, the main factor there is the raw material. So just assuming current spot rates that you see for lithium and other prices, what kind of benefit do you expect for 2024 from that?
Johan Ekdahl: I think I mean, the biggest difference, I would say, is between the, let's say, the end of '21 and the first half of '22 where we had very elevated raw material prices, especially on lithium, but also on other raw materials. We have seen quite a bit an improvement of that in the second half and especially in the Q4 of 2023. We will still -- let's say lithium, for instance, there is a certain time lag, quarterly index contracts, and then we should produce the car. So we still have some side into 2024. But I think the difference will be less than it is, let's say, between the first half and second half of '23.
Ron Banerjee: Let's take a call from Bloomberg then. This is Chris Bryant from Bloomberg.
Chris Bryant: Sorry to come back on Polestar, but, I think it's important. Clearly, you've presented this as a positive for both companies this morning. But, I mean, clearly, Polestar has been a negative for your company not just in your consolidating its results, but also in terms of your share price, which is, I think, close to a record low. So I'm guessing, this move is designed to help create a separation in the eyes of investors, so when investors look at Volvo shares, they think only of Volvo and not of Polestar. But, of course, I think you still have a lot of outstanding liabilities to Polestar, and those are in the form of debt. And I think you've guaranteed the working capital funding at Polestar. So can you clarify, please, what is the total liability outstanding to Polestar from Volvo? And given that you're selling your -- you're going to distribute those shares now, how much influence are you going to have over Polestar still? Are you still represented on the Board there, and will you still therefore be helping to protect that funding which you've extended to Polestar? Because it seems to me that despite the distribution of shares, you'll still be operationally involved, financially involved with Polestar.
Johan Ekdahl: As you say, I mean, we have a lot of operational cooperation with Polestar, which I think benefits both companies. It's on the engineering side, it's on the -- we are producing cars for them, and we also have commercial corporations, which we will continue to develop as long as it's mutually beneficial for both companies. When it comes to the -- if you say what the financial -- financials against Polestar, as you know, we have granted them a shareholder loan -- convertible loan, which is in SEK around SEK11 billion. It's $1. And that, we have also now prolonged the maturity date from '27 to '28, as we as we said in the call and that will remain. When it comes to other receivables against Polestar, that we do have, of course, based on the contract manufacturing. And that will, of course, vary over time, depending on produced volumes, et cetera. I don't have a -- will not have an exact number in this call. But, of course, that will continue. And when it comes to other things, other types of guarantees, I mean, what we have said is that we will not provide any further cash funding into Polestar going forward. That is also clear now that they are becoming more of a, in this case, part of the of the Geely Holdings, corporation on the financing side. But we still will have the convertible loan as the main support for Polestar.
Jim Rowan: I think it gives you three things. One, it gives you the clarity of direction of both companies, so that's first and foremost. The second thing, I think, it does for Volvo Cars is it gives focus. We have a big agenda ahead of us, and so we need to deliver on that agenda in terms of technology and sales and distribution and all the things that come to running a car company. And I also think it gives the kind of transparency, that the people are looking for, what is that direction of travel. And back to your earlier question, we saw already, as I mentioned earlier on the call, the Polestar 2 and Polestar 3 were fully aligned with Volvo platforms. The Polestar 4 is aligned with Geely platform. So you're starting to see now Polestar become less reliant on Volvo and be able to use the strengths and the benefits of the entire Geely Group.
Johan Ekdahl: And maybe as a clarification, the operational receivables that we have had against Polestar have been paid in '23 in accordance with that plan. So just as a, yes, maybe short.
Ron Banerjee: The next caller is from HSBC, and that is Pushkar Tendolkar.
Pushkar Tendolkar: So again, sorry to come back on Polestar. But, now that Geely will be funding Polestar's cash requirements, do you see a risk that they would have to sell down their stake in Volvo Cars to fund those cash requirements? As in, have you had any kind of discussions with Geely along those lines? Because, in December or November they did sell 3% or slightly more than that of the stake in Volvo. So whether you have had any kind of discussions with Geely along those lines. And just then, again, with the Polestar loan, in November, you had said that you would increase the loan by another $200 million. Will is that still part of the plan or you don't do that anymore?
Johan Ekdahl: On the first question, I think, I have to refer to Geely's press release today where I think it's explicit to say that this responsibility will not require any sell down of Volvo Cars due to this. And on the loan, that $200 million is already drawn. So that is a part of the USD 1 billion loan that I referred to earlier. So that has already happened.
Jim Rowan: And the Geely press release -- I can just read that for you. In the Geely press release, it says, This support will not a reduction of Geely shareholding in Volvo Cars. So they've been pretty specific on that, which is, again, back to the clarity and transparency piece, which I think, we're hoping to provide here.
Ron Banerjee: Let's take a written question from BNP Paribas from Dorothee. She says, can you share your latest thinking around localizing EX30 production in Belgium? How quickly can you start, and what EX30 volumes can you produce at that facility. She has a follow-up, which I'll take later. But latest on Belgium, Ghent.
Jim Rowan: And this is one of the strengths of being a global organization, as we said, we have manufacturing facilities in Asia and Europe and North America. And that allows us when trade tariffs change or if we want to change the supply chain or increase the speed to the customer, we have the options to do that. So the EX30, we're very enthusiastic about that car as we were getting towards the launch of that car. We became even more enthusiastic since we've launched it and seen the strong demand. And then, of course, we know there's this investigation going on in Europe right now that may increase the tax tariffs of cars manufactured in China and imported into Europe. So that's one reason, whether it would make sense for us to have a dual source for the EX30, given that we think it's a volume car and given that there's a specter of potentially higher tax tariffs. The other benefit, of course, is we get it from the production lines in Ghent to customers in Europe, which is going to be one of the highest markets for that car much quicker. And so all of those things together makes sense for us to dual source the production of that car. In terms of the timing, we're working through that. And we certainly hope to have the production facility up and running within this year. How many cars we can actually produce within this year is yet to be decided. There's a lot of moving parts to that in terms of localizing the supply chain and so on. But we'd certainly expect for us to have the production facility up and running within this year.
Ron Banerjee: Let's take a caller then from Auto Express. This is John McIlroy.
John McIlroy: Got one for Jim and, and Bjorn. Jim, you've mentioned AI a lot this morning. What a big role it could play in data capture, its value in the long term to Volvo. Do you see AI as a way of delivering a better customer experience, or is it more a way of you owning more of their data and having a better opportunity to monetize it, which is a dominant factor in justifying your investment in AI? And, Bjorn, you spoke about the ICE, MHEV, PHEV models by giving them some love. Should we expect those cars now to stay on sale in some form and depending on market trends right through to the end of the decade? I mean, you've no plans presumably for a new generation of those cars, but might we get additional facelifts beyond what we would call a normal model cycle?
Jim Rowan: I'll take the AI one first.
Bjorn Annwall: Yes.
Jim Rowan: So we've actually been doing AI and machine learning for quite a while. As you know, we have a company that -- we're one of the few heritage car companies or actually one of the few companies in the world that write our own software stack on the ADAS system. And all of that or a large majority of that is already utilizing machine learning and AI. It brings with it -- so back to the benefits. It brings with it tremendous benefits for us, and being able to offer more, let's call it, active safety systems within the car. So now we think -- in the EX30, let me take that as an example. So in the EX30 -- the EX90, we'll go to the core compute architecture. We're using the NVIDIA chipset as the main silicon base for that, and we are writing all the software that takes us from the silicon up to the application layer or the safety application layer. On that car, you have 16 ultrasonic sensors. You have eight cameras. You have five radar systems and a LiDAR system. So we're writing that perception software, we're writing the sensor fusion software. We're in full control of that. And that allows us, unlike many other of our competitors to get all of the data that the car sees from the cameras, from the LiDAR, and obviously all the connectivity. And then from that data, we can use that to make the car safer still. We can use that to update the car. We can use that to the benefit of our customers. At this point in time, is there benefits that we can, as you say, monetize that data? That's something that we're looking at, but we don't have a solid, let's say, road map towards that. But we do have a solid road map towards collecting the data, and that's the -- well, we think that's the first stage.
Bjorn Annwall: Maybe I can add one thing. I think one key monetization model that Volvo has used successfully for many years is monetizing safety. These investments would make the next S-curve of making safe cars. And as long as Volvo continue to lead in terms of safety, we're going to be able to continue to demand brand premium and price premium for our cars. So that's one key monetization model. I mean, this technology fundamentally enables the next the S-curve of safety and that's where Volvo should always be.
Ron Banerjee: And the other question on PHEVs and MHEVs and...
Bjorn Annwall: And so clearly, I mean, as I said, the transition happens at different timescales throughout the world, and that's the strength of Volvo that we have this balanced portfolio. So while we are introducing an EX90, we still have the XC90. And I don't think they're going to cannibalize each other that much, because they're not going to complement each other. It's going to sell more EX90 in Northern Europe and more XC90s in Eastern Europe, more XC90 in Central U.S., more EX90 in West Coast in U.S.. And clearly, XC90 and that's probably one car that's been very, very successful. They have very strong timeless design in their appearance right now. And we have updated the infotainment with Android embedded and so forth. But there are next steps you can do in terms of exterior styling, in terms of interior design, and also in infotainment. And that's, of course, something we are investing into. These are not huge investment, and those are investment we know very well how to do because that's what we've been doing for 97 years. So yes, for some of the key PHEV, MHEV cars we'll make those investments. And exactly which cars, exactly what time, we will come back to. But, clearly, they will continue to play a very important complementary role in our portfolio.
Ron Banerjee: Let's take another question. I mean, you've guided, very strongly for volume and revenue growth for 2024. Can you give us some color on how the month of January has been since today is the 1st of February? So we haven't published the numbers…
Bjorn Annwall: No. I mean, it is the 1st of February and still in the morning. So, we still some counting to do, and we will reveal the exact numbers on Monday. But, we will have a rough number, it will come out around 53,000 cars, which will be then a year over year growth of some 9%, 10% that order of magnitude. So 9% to 10% is a little bit lower than what we're guiding for towards the full year, where we're saying we're going to grow faster in June in '24 than we did in '23. And in '23, we grew with 15%. Clearly, the big delta is that this week we released the EX30 in Europe, and now we're starting to ship the EX30. So this is actually very much according to plan or even stronger, and, we continue to deliver on our plan.
Ron Banerjee: This question comes in from James Attwood from Autocar. When do you anticipate EVs matching or exceeding by ICE cars in terms of gross margin? And how important are your new EV only platforms in achieving that?
Jim Rowan: I think the EX30 takes us pretty much there, quite frankly. I mean, this is a car, EX30, we said, we've guided that will be between 15% and 20% gross margin on that car. On ICE cars and many competitors' ICE cars, they struggle to meet those gross margins already. So I think we are there. At the upper end of that 15% to 20%, you could see you've already reached that target. The EX30 we'll continue. It's a new platform. There's some cost that we can still take out of that as we change those designs a little bit, leverage the volume with the supply base and so on. So I think by and large -- and if you can do that on a small car, which is the most difficult size format to do that on, then I think you're well positioned for the future. As we develop through and we develop our SPA2 architecture and get more and more vehicles on that SPA2 architecture, which remember, the XC40 and the C40 was built on a CMA architecture, which started its life really as a ICE platform. And we redesigned that. We did a tremendously good job, but, nevertheless, you lose some efficiencies when you do that. The EX30, the EX90, the EM90 were born electric cars, and that means they'll take out a lot of the cost and increase the gross margins on those cars. So I think by and large, the EX30 proves that that we, at least as Volvo Cars, in the premium sector have already each reached a BEV to ICE parity.
Ron Banerjee: Let's take another question. Jim, what are your thoughts on supply chain management and complexities between BEVs and ICE cars? I ask you because you have now divested your ICE assets to a separate company.
Jim Rowan: So that is a great question, and it doesn't get asked enough. I mean, it really doesn't. So when you look at the differences, as you probably -- I'm an engineer, but I did my masters in supply chain. So when I look at supply chains and the complexity of supply chains and how much that costs, it's a tremendous cost drain on the company. So let's just take ICE and BEV. If you're doing an ICE car and you're doing a model and you're doing a 1.2, 1.6, 2 liter, or 2.5 liter engine, every single component almost in those different engines are different. There's different size of cylinders. There's different cylinder head gaskets, there's different nuts and bolts and washers and all of that, and they're all machine parts. Okay? You've got roughly 200, 2,500 separate components in an ICE engine. And you've got to do one for a 1.2, a 1.6, a 2 liter, or a 2.5. What that means is then you have tremendous amount of machining that you need to do. So you build all of these factories that are doing machine parts. A lot of those factories have got high capital intensity. A lot of those factories are highly unionized, and they're very difficult once you've made that investment to quickly change. Then let's look at electrical propulsion. Let's take that same analogy. A 1.2 gets, say, 10 battery modules. A 1.6 gets 12 battery modules. A 2 liter gets 12 battery modules. It's the same supply chain. You take away all of that complexity. Now, we still have access to ICE engines, because we took and divested that to Aurobay, so we still have access to that, but we don't need to invest in that. As we said earlier, we're investing in all the new technologies of core compute and LiDAR that takes us forward, but we still have access to that. A lot of our competitors have got 20, 30 factories around the world. A lot of those in high cost geographies that have got these assets that they need to keep investing in, and they're all machine and parts. I think it's a great question, and I'm really surprised why that narrative around electrification versus ICE doesn't come to the fore a lot more. We've done it. We've done. We're focused totally on that electric future in terms of our investment profile. A lot of, our competitors are going to have to go through that Gordian Knot at some point in time. So anyway, great question. I know I get passionate about this, because I think it's a really important question.
Ron Banerjee: This one comes in from Stephanie Vincent from Bank of America. She asked, how does Volvo Cars see credit rating agencies reacting to today's announcement that you no longer will be supporting Polestar? Was this a factor in Volvo Cars' decision, first of all?
Johan Ekdahl: I mean, we announced it this morning, so to speculate on exact reactions from credit rating institutions, I will not do. No. I mean, as we alluded to before, I think this is a logical step now in relation to where the two companies are in their respective development. We will focus on our own investments, in our own transformation and the technology we need to develop going forward. Polestar with the with the new two cars coming out in this year and going into more mature phase, now being more of a part of the Geely ecosystem. So I think that's really the strategic view on this. And what the reaction will be from other parts, let's keep that and see when we have this done and more details to come.
Ron Banerjee: Let's take just few more questions before we wrap this up. The product lineup looks great, but in Europe, we are sorely missing an electric estate vehicle. Volvo as a brand is greatly positioned in that segment, and it's very attractive segment for new families. Are there any plans in bringing out a Volvo EV estate? And it's Martin [Truffinoff] who asked that question. I forgot to mention.
Jim Rowan: We get that question a lot. Obviously, the heritage of the company has been on the wagon platform. We take the market analysis that we do, the demand profiles that we see in different parts of the world, and that bakes into what we call a cycle plan where we decide which products we'll bring to market and which products we won't bring to market. And those are very considered choices that we make that involves lots of smart people and lots of analysis. And once we've done that, we then inform the markets.
Bjorn Annwall: And in the meantime, we have a fantastic V90, V60 plug-in hybrid, all with very good range and good capabilities.
Jim Rowan: We just won a new award for the V90. So, anyway, there's the plug. So, one thing I would like to say is, on a 2022 results, we never really got to it as that. It's not about 2022. It's really not…
Bjorn Annwall: '23.
Jim Rowan: Sorry 2023. 2022 was a pretty good year as well, it was not about 2023. And although we're happy that we delivered record results in terms of earnings and number of units and profits, it's about the foundations that we laid in 2023. For us to be able to sit here today and say we had a record year in the history of the 97 years of the company, and we had a record year. But for us to be able to sit here and say, and we're confident we're going to have another record year in terms of revenue in 2024. I think that's difficult for most companies in a turbulent environment like the auto industry to be able to sit here and have the confidence to say, not only did we have stellar year in '23, we're going to have a record growth in terms of revenue in '24. And I just want to make sure that that punches home, because that's really the bigger part of the achievement of '23 as the position for '24 and beyond, of course.
Ron Banerjee: I'll take maybe two last questions. This comes in from [Lee Tai]. She asked to Jim, What is our strategy to increase BEV sales volume in China market and face the high local competition there? You've kind of touched upon it, but maybe you just want to…
Jim Rowan: I think Johan hit the nail on the head. So, basically, when you look at entering the premium sector in EV in China that's a very different position from what we're seeing most people do as enter the mass market segment where there's lots of price fighting going on and it's as the lower end segment. That's not our strategy at all. We're a premium car manufacturer. We have a fantastic brand in China built over many, many years. Our MHEV and our PHEV products there sell incredibly well. And we're going to bring out the EX90. Again, large SUV. We think we'll be in the premium sector. The EM90, brand new format, we've never done an MPB before. The format in China is very, very popular, especially at the executive level. And then as Bjorn alluded to, the EX30 will play a more of a tactical role. Where we sell the EX30, we'll sell that probably in the top edition, which then brings in that premiumness for people who want to have the all-wheel drive, the longer range, maybe the cross country version of that, those will be the target customers for the EX30, and then we will develop the premium EV from there. But in the meantime, we have a fantastic lineup of really strong MHEV and PHEV cars. And as Bjorn alluded to earlier, and we'll be refreshing those cars reasonably considerably in the years ahead.
Bjorn Annwall: Reasonably, considerably, I like that.
Jim Rowan: Reasonably considerable. Yes.
Ron Banerjee: Maybe staying with China.
Jim Rowan: I like the way we're going to give them some love. I think that was a nicer terminology. But, yes, we're going to pay attention to those cars as well, because we need to pay attention to those customers.
Ron Banerjee: Maybe, Bjorn, you can take this. Kevin [Mortensen] asked, how the sales on the EM90 going?
Bjorn Annwall: Well, short answer. No, it's been very well received. Again, this is a very high end niche segment in China, but it's been launched in a very, very good way. We're taking an order at a higher pace than we had in the plan.
Jim Rowan: I'm going to put a little bit color on that. So EM90, six seater car, everything almost with a captain seat. Everybody has the captain seat. The format for executives -- and that's targeted towards, a lot of time for executive who actually have a driver in China. They spend a lot of time traveling between cities. They spend a lot of time in the car. During the week that those executives often have a driver and they have the comfort of the captain's seat in the second row. And that captain seat comes with full recline, with massage, so everything that you need if you spend a lot of time in the premium sector of that car. But what makes it different from the sedan is that at the weekend, those same customers, the executive then drives the car maybe with his wife, maybe with his parents, and maybe with -- so you have six people and with the grandparents behind. And then that's very difficult to do in a sedan. It's not comfortable. Everybody's in that car. You're in a really safe Volvo. You've got your whole family in there, and everybody has a really comfortable seat. And so that's the part that's been missed. I think when we look at it from the Western perspective, we don't see it like that, but it's a very different use case for that MPV, and it's resonating extremely well.
Ron Banerjee: I said two questions before, but finally, I will take two questions. There's still many more coming in, but I think we should address some of the last questions here. Are you seeing any delays in shipping deliveries due to the Red with crisis. Any color on potential increase on surcharges as a result of that, but Red Sea delays?
Jim Rowan: I can take it from a customer's -- short answer is not really. The disturbances we have in the supply chain over the last two years relate to semiconductors and COVID is just on a totally different level. We have a supply chain that has the ability to absorb some disturbances, and that we've done this time.
Johan Ekdahl: And from a cost perspective, of course, we could see potentially some increased logistics costs, in fact, in vessels going round, et cetera. But from a company level, we don't expect that to be significant.
Ron Banerjee: Maybe I need to end this, with this last question. Maybe, Jim, you can take this. What makes you most confident about Volvo's immediate business prospects going forward?
Jim Rowan: Well, I see us in this transition phase. We talked about the investment phase that we're in and you need to invest in all these simultaneous technologies at same time. But you need to have done that in order to be successful to actually launch our new SPA2 platform, you need to have done that three, maybe even four years ago. What we have seen as a culmination in SPA2 is that a lot of hard work going in long before I even joined the company, and that's been built on over the years. So the core compute architecture that we've been building, the battery technology, the motors and inverters that we used to outsource, we've now insourced those. Now we really understand the software and the software defined vehicle. Now we have the Volvo Cloud. Everything is coming together in the SPA2, and that's itself a stepping stone towards SPA3. And there'll be another tremendous benefit. But I've got to tell you, you're never going to get to SPA3 unless you go through SPA2. There's a learning curve here that you need to go through, and it's painful, because you need to make the investments upfront. We've done that. We're on the cusp of launching SPA2, and that positions us really well to take another leapfrog, I think, ahead of our competition in SPA3. As an engineer, that's the really exciting thing, because then, as we've alluded to earlier, then you really can harness all of the benefits of core compute, of data, of data analytics, of AI and machine learning. I don't know anybody who's going to be able to layer AI, and AI capability on top of an ICE engine, quite frankly.
Bjorn Annwall: If I can just pivot on that, because I think there's a lot of talk about BEV, ICE cost parity. I think what Jim just talked about is what's going to give us BEV, ICE experience superiority. That's really what we need to go for. That's Volvo. We're a premium by car brand. And we need to have BEV, ICE experience superiority, and that's what all of those investments are geared to give us. So that bodes well for the future.
Ron Banerjee: All right. Thank you very much, Johan, Jim, Bjorn and thank you everyone for tuning in this morning for our earnings call. In case we missed out some questions, please reach out to the Investor Relations team or the Media Relations team, and we'll pick it up from there. But from all of us here, thank you. Have a great day. Bye.
Jim Rowan: Thanks.
Johan Ekdahl: Thank you.